Operator: Good day, ladies and gentlemen, and welcome to the second quarter 2011 Calumet Specialty Products Partners earnings conference Call. My name is [Saquana] and I will be your coordinator for today. At this time all participants are in listen-only mode. We will facilitate a question-and-answer session towards the end of this conference. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Mr. Derik Daniel, Director of Communications. Please proceed, sir. 
Derik Daniel: Thank you operator. Good afternoon and welcome to the Calumet Specialty Products Partners investor’s call to discuss our second quarter 2011 Financial Results. During this call Calumet Specialty Products Partners L.P. will be referred to as the Partnership or Calumet. Also participating in this call will be Bill Grube, our CEO and Vice Chairman; Jennifer Straumins, our President and COO, and Pat Murray our CFO. Following the presentation we will hold the line open for a question-and-answer session. During the course of this call we will make various forward-looking statements within the meaning of the Section 21E of the Securities Exchange Act of 1934. Such statements are based on the beliefs of our management, as well as assumptions made by them and in each case based on the information currently available to them. Although our management believes the expectations reflected in such forward-looking statement are reasonable, neither the Partnership, its general partner nor our management, can provide any assurances that such expectations will prove to be correct. Please refer to the Partnership’s press release that was issued this morning, as well as our latest filings with the Securities & Exchange Commission, for a list of factors that may affect our actual results and could cause them to differ from our forward-looking statements made during this call. Our production levels improved in the second quarter of 2011 compared to the second quarter of 2010. However, our production was limited by a three-week shutdown of the Exxon Mobile crude oil pipeline which serves our Shreveport refinery during a portion of May and June. This was caused by the recent Mississippi River flooding. We continue to focus on increased run rates to meet higher demand for our specialty products and to better benefit from improved dual products crack spreads. On June 24, 2011, we entered into an amended and restated senior secured revolving credit agreement, which increased the maximum availability under our revolver from 375 million to 550 million, as well as amended it’s conveyance in terms. On July 22, 2011, we declared a quarterly cash distribution of $0.49.5 per unit, on the quarter ended June 30, 2011 on all outstanding units. This distribution will be paid on August 12, 2011 to unit holders of record, as of the close of business on August 2, 2011. The distribution represents a $0.02 per unit increase from the first quarter of 2011. As previously announced on July 25, 2011, Calumet signed a definitive asset purchase agreement to acquire the Superior Wisconsin Refinery an associated operating assets and inventories of Murphy Oil Corporation for a total consideration of approximately 214 million plus the marketing value of the hydrocarbon inventories at closing and the reimbursement of certain capital expenditures to be incurred at the superior refinery during the period from the execution date of the purchase agreement to the closing; subject to customary purchase price adjustments. The estimated market value of the hydrocarbon inventories were approximately 260 million on June 30, 2011. And the estimated capital expenditures to be reimbursed are 4 million. The Superior refinery produces and markets gasoline, [inaudible], asphalt, and specialty petroleum products. The assets to be acquired include the Superior Wisconsin Refinery, and associated inventories, the Superior Refineries wholesale marketing business, and related assets. And Murphy Oils SPUR branded gasoline, wholesale business and related assets. Calumet expects the acquisition to close by the end of the third quarter 2011. I will now turn the call over to Pat Murray, to write review of our financial results. 
Pat Marray: Thank you, Derrik. Net loss for the second quarter of 2011 was 7.7 million compared to 0.9 million for the same period in 2010. These results include 15.1 million in debt [inaudible] cost, of which 14.4 million were noncash, and 3.1 million of noncash unrealized derivative losses for the quarter ended June 30, 2011, as compared to 8 million of noncash unrealized derivative losses in 2010. We believe the non-GAAP measures of EBITDA, adjusted EBITDA and distributable cash flow are important financial performance measures for the partnership. EBITDA and adjusted EBITDA as defined by our debt instruments were 32.7 million and 40.8 million respectively for the second quarter of 2011. As compared to 21.6 million and 32.1 million respectively for the same quarter last year. The partnerships distributable cash flow for the second quarter of 2011 was 25.4 million as compared to 7.2 million for the same period in 2010. The increase in adjusted EBITDA quarter-over-quarter was due primarily to 7.9 million of insurance recoveries related to a settled claim with insurers for the failure of an environmental operating unit at our Shreveport refinery in the first quarter of 2010, partially offset by increased transportation expense. We encourage investors to review the section of the earnings press release found on our website entitled non-GAAP financial measures and the attached tables for discussion and definition of EBITDA, adjusted EBITDA and distributable cash flow, financial measures, and reconciliations of these non-GAAP measures to the comparable GAAP measures. Gross profit by segment for the second quarter for specialty products and fuel products was a profit of 58.3 million and a loss of 7.7 million respectively compared to gross profit of 46.4 million and 3.2 million respectively for the same period in 2010. The increase in specialty product segment gross profit of 11.9 million quarter-over-quarter, was due primarily to a 12.8% increase in sales volume and a 25.5% increase in the average selling price per barrel, partially offset by a 37.6% increase in the average cost of crude oil per barrel, and higher operating cost primarily repairs and maintenance. The decrease in fuel products segment gross profit of 11 million quarter-over-quarter was due primarily to increased realized losses on derivatives of 27.1 million in our fuel products hedging program, a 39% increase in the cost of crude oil per barrel, and increased production of byproducts, partially offset by a 14% increase in sales volume, and a 45.8% increase in selling prices per barrel, excluding the impact of realized hedging losses. Our Shreveport [inaudible] run rates being below expectations resulted in our diesel and jet fuel sales volumes, being approximately 100% hedged at approximately $12 per barrel during the second quarter of 2011. This prevented us from fully realizing the benefit of increased market prices for fuel products. Additionally, byproduct production increased quarter-over-quarter due primarily to an increase in the mix of [inaudible] crude oil run rates at the Shreveport refinery. Selling, general, and administrative expenses increased 2.1 million to 10.5 million in the three month ended June 30, 2011 from 8.3 million in the same period last year. This increase was due primarily to increased accrued incentive compensation cost of 1.6 million in 2011 compared to last year. Transportation expense increased 2.7 million to 22.7 million in the second quarter from 20 million in the same period last year. This increase was due primarily to increased sales volume to lubricating oils, solvents and waxes, as well as higher freight cost. Insurance recoveries were 7.9 million for the quarter, the gain was related to a settled claim with insurers, related to a failure of an environmental operating unit at the Shreveport refinery during the first quarter of last year. Debt extinguishment cost were 15.1 million during the quarter ended June 30, 2011. The debt extinguishment cost related to the extinguishment of our term loan with proceeds from the issuance of our senior unsecured notes in April of 2011. As of June 30, 2011, total capitalization consisted of partner’s capital in the amount of 358.4 million and outstanding debt of 429.4 million, comprised of 400 million of 9.38% senior notes, due 2019, borrowings of 28.1 million under our revolving credit facility, and the long term capital lease obligation of 1.3 million. The 39.8 million decrease in partner’s capital from December 31, 2010 was due primarily to a net loss of 3.5 million, 36.3 million of distributions to partners, and 95.7 million increase in other comprehensive loss, primarily due to a decrease in the fair market value of our derivative instruments, partially offset by the settlement of derivative instruments designated of cash flow hedges, all partially offset by proceeds from the March 2011 public equity offering of 94.3 million. On June 30, 2011, we had availability of 194.7 million under our revolving credit facility based on a 402.2 million borrowing base, 179.5 million in outstanding standby letters of credit, and outstanding borrowing of 28.1 million. We believe that we’ll continue to have sufficient cash flow from operations and borrowing availability under our revolving credit facility to meet our financial commitments, minimum quarterly distribution to our unit holders, debt service obligations, contingencies, and the anticipated capital expenditures. And now I’ll turn the call over to Jennifer Straumins.
Jennifer Straumins: Thank you Pat. We were very pleased with our performance in the second quarter. We had record production rates at all of facilities. Our facilities all continue to operate very well, and our demand for our products remain very strong. We’ve begun integration of the superior refinery acquisition, and are very excited about the synergies that we have with that facility, and the opportunities at the site. This concludes our remarks and we’d now be happy to answer any questions. 
Operator: (Operator instructions). And your first question comes from the line of Mr. Atwood Rowe, representing Raymond James. Please proceed. 
Atwood Rowe – Raymond James: Good afternoon. My first question is around the Superior Refinery acquisition. We see that EBITDA for the Superior for 2011 was around 56 million, and with crack spreads, the 211 crack spread higher for 2011 versus 2010, do you think the run rate of around 60 million EBITDA for 2011 and into 2012 is achievable? 
Jennifer Straumins: We think that that’s – we think that even higher rate are achievable. 
Atwood Rowe – Raymond James: Even higher? Okay. 
Jennifer Straumins: Yes. 
Atwood Rowe – Raymond James: All right. 
Jennifer Straumins: Yeah, the 56 million includes a substantial number for corporate SG&A and that’s one of the synergies that we have with this acquisition, we’re absorbing all accounting, HR type of functions that would have existed at Aldorado and not at the facility. We’ll absorb those into our current system and don’t anticipate adding hardly any headcount here in Indianapolis. 
Atwood Rowe – Raymond James: Okay, great, thanks. And next question is, surrounding the Shreveport, it was currently running around 25 million barrels per day of feed stock that was benchmarked at WTI and that number was projected to grow to approximately 33 million barrels per day…
Jennifer Straumins: A thousand barrels per day. 
Atwood Rowe – Raymond James: Or a thousand barrels, excuse me. Where’s it now up to this point? 
Jennifer Straumins: It’s that the 33,000 level today. 
Atwood Rowe – Raymond James: Okay, all right. 
Jennifer Straumins: And it could go another 4,000 maybe. We completed during the second quarter a project to run WTI crews at that facility and we’re running about 6,000 barrels a day at WTI right now and have a little bit more work to do to be able to run up to 10,000. And we’ve – that project should be done at the end of September. So during the fourth quarter, we anticipate running 1,000 barrels a day at WTI. 
Atwood Rowe – Raymond James: Okay. And the last question, as it relates to debottlenecking initiatives to improving utilization, are you still targeting around 10 million for 2011, and can you share your thoughts on what you project for the second half of ’11? 
Jennifer Straumins: We’ve spent – we spent a little bit more than $10 million so far this year on debottlenecking in growth CapEx. Those projects have all more less wrapped up at this point in time and don’t have anything else really inflated aside from completing the WTI project for the rest of the year from a growth CapEx standpoint. With the Superior acquisition being announced, we’ll now save all of our excess cash flow or growth CapEx budget until we can get into Superior and see what opportunities are up there and what some of those costs would be. So we – so we’ve send a little bit more than $10 million this year because our earnings were so good, we went ahead and did some projects that have very short payback periods and those are complete and in operation. 
Atwood Rowe – Raymond James: All right. Thank you. 
Jennifer Straumins: Thank you. 
Operator: And your next question comes from the line of Gary Stromberg representing Barclays Capital. Please proceed. 
Gary Stromberg – Barclays Capital: Hi, good afternoon. What was the realized hedge loss in the quarter? 
William Grube: Realized hedge loss on fuel product segment was 27.1 million. 
Gary Stromberg – Barclays Capital: Okay, so the number in the release is the actual loss for the period? 
William Grube : Right. 
Gary Stromberg – Barclays Capital: Okay. And then the $138 million derivate liability at June 30, what’s the rough pace that that will roll off? I know you have derivatives through 2013. 
William Grube : Right. We have derivatives out to 2013. It’s roughly equivalent, if you look at our positions out, we’ve got roughly about the same number of barrels hedged in 2012 as we had in 2011. So it’s a fairly ratable pace and then, of course, the 2013 – the average crack spread there is much higher, it’s about $10 higher. So there wouldn’t be a significant amount of the liability associated with that at this point. 
Gary Stromberg – Barclays Capital: Okay. And then on the new revolver, the LCs jumped pretty significantly, 85 million to 180 million over the course of the quarter. Where do you see that in the next couple of quarters, and with 195 million of borrowing capacity, is that enough for the Murphy acquisition, or do you think you have to expand that revolver even more? 
William Grube: Well, the expansion of the letters of credit, part of that was related to when we put the bonds in place, so we issued some standby LCs to counterparties to support – continue to support the crack spread hedging program. Part of it is also just increased price of crude and higher run rates. I think the revolver today has an expanded accordion feature in it. We moved from 375 to 550 just based on the current business. We put an uncommitted accordion in the revolving credit facility in anticipation that we might need to utilize that for a potential acquisition. So you know, we intend to work through the financing needs of the partnership as we proceed to the closing and I think with the working capital requirements of a Murphy acquisition, it’s likely that we’ll look at that accordion. The borrowing base today is $400 million on our current business and I think we disclose what the estimated inventories are at the Superior refinery at 630 of being 260 million. So yeah, I think a borrowing base, if you add those two numbers together, certainly exceeds where we would be today. But you know, the main thing for us is making sure that whatever the working capital requirements end up being, that we have enough of commitments to cover what that borrowing rate would be. So we feel that the sizing, not only of the existing revolver today, but also the uncommitted accordion, what flexibility that may provide should be ample to cover the entire business even with the Superior acquisition. 
Gary Stromberg – Barclays Capital: Okay, and what’s the size of the accordion? 
William Grube : 30 million. 
Gary Stromberg – Barclays Capital: Additional? 
William Grube: Additional. 
Gary Stromberg – Barclays Capital: And you haven’t changed the maturity of Janet 13? 
William Grube : No. 
Gary Stromberg – Barclays Capital: Okay. All right, that’s all I had. Thank you. 
William Grube: No, to be clear, no, it goes out, it’s a five-year – it goes out to 2016, the revolver. 
Gary Stromberg – Barclays Capital: Yeah. Okay. 
William Grube : It was amended and restated, so we go out til – we signed up on June 24, it will go out until 2016. 
Gary Stromberg – Barclays Capital: Got it. All right. Thank you.
Operator: And your next question comes from the line of Kelly Krager representing Bank of America/Merrill Lynch. Please proceed. 
Kelly Krager – Bank of America/Merrill Lynch : Hi, good afternoon. Just a few questions on the – in the release you noted that as a result of the downtime at that Exxon pipeline, that that caused kind of like a little bit of disruption at your Shreveport refinery. I was just going to see if you could give us a little more color around that. 
Jennifer Straumins: Sure. We think that our – it’s – if we’d been able to bring in [sour] crude like we had been, our run rate at Shreveport would have been about 6,000 barrels a day higher than it was on average for the quarter. 
Kelly Krager – Bank of America/Merrill Lynch : Okay. Do you have like what you think the cash flow impact of that is or the EBITDA impact of that is? 
Jennifer Straumins: I’d guess about $4 million. 
Kelly Krager – Bank of America/Merrill Lynch : $4 million, okay. And then, where’s Shreveport running today? 
Jennifer Straumins: Shreveport is running between 48 and 52,000 barrels a day today. 
Kelly Krager – Bank of America/Merrill Lynch : Okay. Was the month of – let me think, the month of July, was that a pretty clean month from the standpoint of having the Exxon pipeline volumes cut back on line and the refinery running as, you know, kind of running as expected? 
Jennifer Straumins: Yes. July was a very clean month for the company. 
Kelly Krager – Bank of America/Merrill Lynch : Okay. And then on the Superior asset, do you have a – I know you gave a 2010 EBITDA on the number, do you have a – kind of an LTM June 30 number for that? 
Jennifer Straumins: We don’t at this point in time. We will when we – we’ll publish the financial when we receive the – that will be towards the end of August. 
Kelly Krager – Bank of America/Merrill Lynch : Okay. And what’s a good benchmark crack to use for that asset? 
Jennifer Straumins: They’re running – [inaudible] type of crack spread. 
Kelly Krager – Bank of America/Merrill Lynch : Okay. Okay. And can you – I think you went over earlier, or one of the earlier questions was about how much WTI you’re running at Shreveport. But I know that you have the – it sounds like 6,000 of a 10,000-barrel-a-day project that’s done. So what – so right now, like – am I doing the math right when you said that 33,000 barrels a day are priced off WTI, is that including the 6,000? 
Jennifer Straumins: It is. 
Kelly Krager – Bank of America/Merrill Lynch : And so you’ll go from 33 to 37 at the end of September with that incremental 4,000? 
Jennifer Straumins: Well, we’ll – the barrels that we back out are WTI-priced barrels. But they’ve got a kicker to them so they’re – they’re more expensive than WTI. 
Kelly Krager – Bank of America/Merrill Lynch : Okay. 
Jennifer Straumins: It’s a [inaudible] type of a barrel. 
Kelly Krager – Bank of America/Merrill Lynch : Okay. Okay, so you’ll have 33,000 barrels a day that’s priced close to…
Jennifer Straumins: Right, and then we’ll keep the 17 of the – of the sour barrels that we bring up the Exxon pipeline. 
Kelly Krager – Bank of America/Merrill Lynch : Okay. And what kind of differential are those relative to WTI? 
Jennifer Straumins: Are which ones? The sour barrels? 
Kelly Krager – Bank of America/Merrill Lynch : The sour barrels. 
Jennifer Straumins: They’re priced more off of [inaudible]. 
Kelly Krager – Bank of America/Merrill Lynch : Okay. Okay, thank you. 
Jennifer Straumins: Thank you. 
Operator: And your next question comes from the line of Eric Alofs representing Appaloosa . Please proceed. 
Eric Alofs - Appaloosa: Hi, how you doing? 
Jennifer Straumins: Hi. 
Eric Alofs - Appaloosa: I just wanted to get a better picture. Could you help us understand how much EBITDA would have been generated in the quarter if no hedging had taken place? 
William Grube : Well, if no hedging had taken place, one proxy for the delta would be our realized derivative losses, which would have been in the fuel product segments, was like 27 million. I guess I point out that in periods where crack spreads are as wide as they are, the focus, of course for us, is to run as many barrels as we can and we mentioned the limitations caused by the Exxon Mobile pipeline shut down for three weeks. But in terms of the program itself being self-sufficient in terms of generating cash to pay for those losses, then we certainly, as long as we’re covering those hedges, we’re okay. I mean, I think that running additional barrels gives you move exposure to the market crack spreads and that’s what we’re doing now. And as Jennifer mentioned, we’re running, you know, the Shreveport refinery in the 48 to 52,000 barrel a day range starting in July. So we would expect at this point that we’ll have more exposure to the market crack in this quarter. 
Eric Alofs - Appaloosa: So you would add in both the 27 million that you had previous noted for the realized hedging loss and then another four for the outage? 
Jennifer Straumins: That’s right. 
Eric Alofs - Appaloosa: Is there anything else that we might add back? 
Jennifer Straumins: Not to adjusted EBITDA, but there was a pretty debt extinguishment cost that flowed through to that income. 
Eric Alofs - Appaloosa: Okay, great. Thank you. 
Jennifer Straumins: Thank you. 
Operator: (Operator instructions). And your next question comes from the line of Peter Madsen representing Drakkar Capital. Please proceed.
Peter Madsen – Drakkar Capital: Hello. I think maybe a follow-on question just generally on hedging and maybe some clarification. It looks like you ran, and this is in relation to the fuel products division, you know, it looks like you’re running 28,000 or so barrels per day in the fuel products sector. And you know, just based on what I looked at in terms of the recent 10-Q, and I may not have all this right, you now, so I just am looking for some clarification. But the amount of barrels per day that seem to be hedged were, at least as of the last Q were more like, looked more like 20,000 contracts. So I guess, can you just kind of clarify because I know that on previous calls, the discussions have generally been around that virtually all of the fuel products production is basically subject to hedges. So I’m trying to get a feel for the apparent discrepancy between what seems to be hedged and then the amount of barrels that are flowing. And then maybe as a follow-on question, you know, how – what percentage of forward-looking production for the rest of this year and 2012 and 2013, you know, is hedged at below market rates? 
Jennifer Straumins: Sure. I mean, we’ve never really said that we hedge 100% of our fuels production. We hedge around 70% or so. Given where – our old credit facility required us to hedge a certain percentage on a go-forward – on a looking-forward two-years’ basis. And given where gasoline cracks were at the time, we overweighted our hedges get in jet and diesel fuel. And so we were more less 100% hedged on jet and diesel and then had more exposure to the gasoline market because at some point in time, gasoline had to – the crack spreads were actually negative, so we weren’t going to do negative hedges. And you know, looking forward, if Shreveport runs at the 50,000 barrels a day, we should be producing about 30,000 barrels a day of fuels there and you know, we’re hedged around 20,000 barrels a day going into 2012. And then less so in 2013, but those are at significantly higher levels in 2013. 
William Grube: Yeah, I mean, as a point of reference, again, I mean, roughly around $12 a barrel in 2011 and ’12 and around $24 a barrel in 2013. 
Peter Madsen – Drakkar Capital: And that’s on what you’re hedged, but you’re not fully hedged based on current production rates? 
Jennifer Straumins: That’s right. 
Peter Madsen – Drakkar Capital: So you’re about maybe 2/3s hedged, you know a 20 and a 30 type of thing, right? 
Jennifer Straumins: That’s right. 
Peter Madsen – Drakkar Capital: Okay. You know, a couple quick follow-on questions. Obviously, the Murphy acquisition, you know, kind of is running at current market spreads. So will you bring that production under your hedge program relatively quickly or what’s kind of the hedge outlook for the Murphy acquisition? 
Jennifer Straumins: Yes. We do plan on hedging product out of the that facility and we’re working through all those details right now. 
Peter Madsen – Drakkar Capital: Okay. And then, I guess, you know, last question, just in terms of how you’re financing Murphy in terms of you know, the acquisition prices is broken down into two components, kind of the purchase of the asset for you know, 213 or whatever the number is, and then purchase of inventory. With respect to, you know, inventory, do you need to finance the whole 400 kind of 50/50 debt and equity or can the inventories just kind of go into the general, you know, operational financing – so I guess just a question on kind of, is the amount of units that we’ll need to be financed, is that on the whole 400 million, or is that on the 200 million for the actual asset? 
Jennifer Straumins: Well, you know, we’re working through, obviously, with all of our advisors the best split to do that between, you know, equity and bonds and revolver. We’ve got quite a bit of liquidity on our revolvers, so we’re working through all those details, but our long-term goal is to maintain a debt-to-equity ratio of 50/50. And those borrowings on the revolver would fall under that debt number. 
Peter Madsen – Drakkar Capital: Okay. Thank you. 
Jennifer Straumins: Thank you. 
Operator: You have a follow-up question from the line of Eric Alof representing Appaloosa. Please proceed. 
Eric Alofs - Appaloosa: Yeah, hi. Just a follow up question or two on the Superior acquisition. Could you just explain a little bit, first around the name-plate capacity, you guys talked about 45,000 versus 35. Is it reasonable to assume you could be closer to that 45 if you have access to the later crudes and that would be a more reasonable run rate to assume going forward? And also, at both the 35 and 45 run rate levels, is it fair to assume that it’s 100% WTI linked pricing? 
Jennifer Straumins: It’s 100% WTI linked pricing and you’re correct when you say the 45, 000 barrels a day is if you were running 100% of the lighter North Dakota crude. You know, we’ve – there are several – in talking with the plant management, there are several minor debottlenecking projects that could be done there. So once we get into the facility and understand what exactly what the market is and the assets and the cost associated with debottlenecking that facility, we think it could easily run more than the 45,000 barrels a day. 
Eric Alofs - Appaloosa: I’m sorry, just so I understand what you had said there, so you don’t need debottlenecking to do 45, you just need to change the crude slate? 
Jennifer Straumins: That’s right. And could do – if you wanted to 45 of Canadian and North Dakota mix, there’s some debottlenecking that would need to be done. 
Eric Alofs - Appaloosa: Okay. And I’m sorry. Did you also say that you could do higher than 45 with…
Jennifer Straumins: That’s our – that is what we’ve been told. 
Eric Alofs - Appaloosa: Okay. And can you sort of outline a little bit of magnitude there? 
Jennifer Straumins: Not at this time. We’re very, very early in the process. 
Eric Alofs - Appaloosa: Okay. I appreciate the help. 
Operator: Your next question comes from the line of [Rick Sea] representing Golden Tree. Please proceed. 
[Rick Sea] – Golden Tree: Hi. I was just hoping you could give a little bit more color no the acquisition rationale and talk a little bit more about what you think some of the synergy opportunities might be and why the transaction makes sense for Calumet. 
Jennifer Straumins: Sure. We have quite a few synergies, but even at as a standalone facility, there’s a great acquisition for Calumet. When we published their last three years of financial statements as part of the process of raising financing for this acquisition, you’ll see that the cash flows have been stable and strong, and it’s a very – it’s a niche refinery. It fits well with our strategy of acquiring assets that are no longer desirable to majors. We’ve done this several times with all of our acquisitions. We like the market that they participate in, we like the [inaudible] market. There’s some niche fuels markets that they participate in that we find to be desirable. They’re crude slate is very advantageous and their location is very advantageous. It gives us geographic diversity as well as a nice medium-sized facility to add to our portfolio. And as far as synergies with what we already have, our Shreveport refinery has run Bakken crude in the past so there’s some crude synergies there. And our Princeton refinery has run [inaudible] crude, so there’s synergies there as well. 
[Rick Sea] – Golden Tree: Thank you. And did you – I heard you say earlier that you were going to provide the more financial in connection with the [inaudible] in late August. Could you give any color on what the run rate EBITDA level of the facility is? 
Jennifer Straumins: We’ll do that at that time. 
[Rick Sea] – Golden Tree: Okay, thank you. 
Operator: At this time, there are no further questions. I would now like to turn the call back over to Mr. Daniel for closing remarks. 
Derick Daniel: Thank you very much, operator. This concludes the Calumet Specialty Products Partners earning conference call covering the company’s second quarter 2011 results. Thank you very much for your participation in the teleconference. Please note the teleconference will be available for replay using the instructions contained in our press release. 